Operator: Welcome to the Adient First Quarter Earnings Call and thank you for standing-by. At this time, all participants are in a listen-only mode until the question-and-answer portion of the conference. [Operator Instructions] Today’s conference is being recorded. [Operator Instructions] Thank you. And now I’d like to turn the call over to your host Mr. Mark Oswald. Thank you, sir, you may begin.
Mark Oswald: Thank you, Marcella. Good morning and thank you for joining us as we review Adient’s results for the first quarter of fiscal year 2019. The press release and presentation slides for the call today have been posted to the Investors section of our website at adient.com. This morning, I’m joined by Doug DelGrosso, Adient’s President and Chief Executive Officer, and Jeff Stafeil, our Executive Vice President and Chief Financial Officer. On today’s call, Doug will provide an update of the business, followed by Jeff who will review our first quarter results in more detail. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Doug and Jeff, there are a few items I’d like to cover. First, today’s conference call will include forward-looking statements. These statements are based on the environment as we see it today, and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements we made on the call. Please refer to Slide 2 of our presentation for a complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company’s operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. This concludes my comments. I’ll now turn the call over to Doug.
Doug DelGrosso: Okay. Thanks, Mark, and thanks to our investors and the analysts for joining the call this morning. Let me direct you to Slide 4 first a few comments on recent developments, including certain key financial metrics, which are called out at the top of the slide. Sales and adjusted EBITDA for the quarter totaled 4.2 billion and 176 million, respectively. Sales were in-line with our internal expectations. Operational challenges were a primary contributor to the 19 million year-over-year decline in EBITDA. Adjusted earnings per share fell to $0.31 in the most recent quarter, as the lower level of operating profit dropped right to the bottom line. We ended the quarter with 406 million of cash, and net debt totaled approximately 3 billion as of December 31. Important to note, the adjusted results exclude certain non-cash charges that we view as one-time in nature of our otherwise skewed trends in core operating performance for the company. A list of adjusting items can be found in the appendix. Outside of the financial results, other recent developments include, progress related to our efforts to increase the flexibility of the company's balance sheet, which is important to turnaround. From a customer program perspective, the team continues to secure important new replacement business wins, the most notable being the complete seat business for the next-generation Ford F-150, BMW 7-Series. Last point on slide, adding strong market position and performance in China was recently validated externally with the achievement of 21 J.D. power initial quality awards in 2018 across a variety of segments and joint ventures. Turning to Slide 5, I will like to spend a few minutes discussing what I've observed during my first 100 days plus and, more importantly, what our margin potential could look like with the successful execution of the turnaround. The chart on the left illustrates our current and historical EBITDA margin performance. As you can see, we dropped about 300 basis points to prior performance and operating at a cap of about 400 basis points to others in the seating business. As I’ve mentioned before there are no structural issues preventing Adient from achieving best-in-class margins. Performance headwinds alluded in significant operational challenges, primarily launch related, reduced focus on core business, too much emphasis on growth, which also has contributed to undisciplined commercial decisions. When drilling down into the nonperformance, we see roughly 200 basis points of opportunity in opportunity in our SS&M group and another 150 basis points of opportunity in Seating America. Looking forward, we expect to close the margin gap. As we gain clarity on the pace of various operational and commercial actions being executed, we’ll be in a better position to share with you our thoughts on how long the closure is expected to take. You can expect updates on the subject as we progress through the year. Let’s turn to Slide 6. So, what are the key actions we’re taking. On a high level, the major tenants are the turnaround. When thinking about actions, it really translates into what we can do quickly and what will take a longer period of time to complete. In the first 180 days the team is really focused on the basics. Changing our culture and mindset fixing operational issues, which include the elimination of operational ways. The continued focus on SG&A savings should also be included in that bucket. Commercial discipline, which I view as a high priority and in fact I'm personally involved in many of these discussions, which speaks to the importance of withholding them. Ensuring our balance sheet has the strength flexibility to ensure the turnaround and longer term rightsizing our SS&M business. Although the segment is important to our overall business, we need to be far more selective in who we sell our technology to. For too long the segment has been a cash drain on the company. Before I turn the call over to Jeff, just a few comments on performance of our Seating Americas and SS&M business. Starting seating, our Q1 results were generally in line with our internal expectations as the launch related headwinds that serviced in half two of last year spill over in 2019.  As a reminder, large portion of North America's CD underperformance is the result of increased volume and complexity of our launch load. These issues have been exacerbated by other factors such as higher than normal volatility and customer releases unplanned legacy program extensions, and stretched resources, not to mention macro factors, such as righting the input costs. That said, we’re executing the number of operational and commercial actions to improve our results, including a renewed focus on our core business, incorporating not only better operational performance, but also greater level of focus on commercial decisions. A reallocation of resources to problem plants and launches to ensure operational waste is eliminated, and finally the elimination of distractions outside the core business. As I mentioned previously, unfortunately the intense focus on growth within the organization at the time of this spend resulted in distractions way from our core business and stretched our resources. Eliminating these distractions and focusing on core business is an essential element of our plan going forward. Evidence these actions are taking root are expected to become visible as we progress through the year. With regard to SS&M, certain operational headwinds that impacted our business in early 2018 are showing significant signs of improvement. These should be viewed as proof points Adient can solve complex issues and turnaround actions are taking root. Few examples include our Clanton Alabama plant, which struggled supporting the launch of the second and third [indiscernible] structure for a domestic SEP. As 2018 progressed, the combination of successful operational and commercial actions resulted in program becoming profitable. Also, the challenges impacting our Rockenhausen Germany facility that produces recliners were well document throughout 2018; specifically, the need for manual lines to meet launch production volumes and premium freight. The Q1 2019 came to a close, the team managed to eliminate the manual lines, as well as the premium freight. Unfortunately, these positive developments were partially offset by launch related costs associated with increased common front seat architecture volume in Europe. Similar to the challenges faced in Clanton and Rockenhausen, the team is executing operational actions and working with customers on commercial terms to improve the program profitability. To sum it up, this slide is a bit of good news and bad news story. 2019 will continue to experience the negative impact of launch related headwinds in both seating and SS&M. On a positive side, the message is, we can solve these problems even if they involve commercial issues, but again it will take time. Clearly, we have a lot work in front of us, but rest assured the team is up for the challenge, and I look forward to updating you on our progress as we move through year. With that, I’ll turn it over to Jeff, so he can take this through Adient’s financial performance for the quarter and what to expect in the coming months.
Jeff Stafeil: Great. Thanks Doug, good morning everyone. Turning to our financial performance. As Doug stated in his remarks, Adient’s first quarter results were in line with internal expectations and consistent to what we discussed at the Deutsche Bank conference in January. Turning to Slide 9 and adhering to our typical format, the page is formatted with our reported result in the left and our adjusted results in the right side. We will focus our commentary on the adjusted results. These adjusted numbers exclude various items that we view as either one time in nature or otherwise skew important trend in underlying performance. The adjusting items are called out in the appendix. On a high level, despite a modest decline in sales, Adjusted EBITDA for the quarter was $176 million, down $90 million or 34% year-on-year, largely explained by a decline in business performance, which I’ll cover in a few minutes. Also contributing to the decline was equity income, which was down $26 million in the quarter, compared with the same period last year. Largely explained by our $14 million decrease within our interiors YFAI business and $5 million negative FX. Finally adjusted net income and EPS were down approximately 70% year-over-year at $29 million and $0.31, respectively. Now, let’s breakdown our first quarter results in more detail starting with revenue on Slide 10. We reported consolidated sales of $4.15 billion, a decrease of $46 million, compared to the same period a year ago. The benefit from increased volume was more than offset by the negative impact of currency movement. Moving on with regard to Adient’s unconsolidated revenue, our Q1 result held up well relative to overall production in the region. Unconsolidated Seating and SS&M revenue driven primarily through our strategic JV Network in China was down 7% when adjusting for FX. A good outcome as production was down double digits for the quarter. Strong mix in our customer diversification helped drive Adient’s outperformance versus the market. Sales for unconsolidated interiors recognized through our 30% ownership stake in Yanfeng Automotive Interiors was down 1% year-on-year when adjusting for FX. It is important to remember that roughly 50% of the business is conducted outside of China.  Moving to Slide 11, we provide a bridge of adjusted EBITDA to show the performance of our segments between periods. The bucket labeled corporate represents central costs that are not allocated back to the operations. These core costs include our executive office, communications, corporate finance, legal, and marketing. A big picture, adjusted EBITDA was $176 million in the current quarter versus $266 million last year. The corresponding margin related to the $176 million of adjusted EBITDA was 4.2%, down approximately 210 basis point versus Q1 last year. The primary driver of the year-over-year decline is attributed to negative business performance with seating, and as Doug mentioned largely operation and launch related. In addition, interiors also weighed on our first quarter results as operational challenges outside of China had a significant impact in the year-over-year results. A $10 million improvement in SS&M and continued cost reductions within corporate were partial offsets. Similar to the past few quarters, we’ve included detail bridges for both Seating and SS&M segment on Slides 12 and 13. Starting with Seating on Slide 12, adjusted EBITDA decreased to $261 million, down $93 million, compared to the same period a year ago. The primary drivers between the periods include approximately $70 million in negative business performance headwinds, many of which were launched related. I won’t go into the specific light items as we’ve included them in a callout box. In addition to the negative business performance, the negative impact of currency movements and increased commodity cost resulted in an approximate $10 million headwind in Q1 this year versus the same period last year. Temporary SG&A benefits recognized last year, but did not repeat in Q1 of this year also impacted the Seating segment by about $10 million. And finally, equity income, excluding the impact of FX was down $6 million year-over-year. One last point on Seating, our CapEx for the Seating business was approximately $73 million in the quarter. Turning to Slide 13 and our SS&M segment performance. For the quarter, adjusted EBITDA was negative $72 million or $10 million better than Q1 2018. The primary drivers between Q1 this year and last year’s first quarter include the positive impact of improved business performance, which includes lower launch related cost and reduced premium freight. Similar to the Seating bridge, a detailed call-out box is included on the slide. Reduced engineering spend and cost control more than offset the temporary SG&A benefits recognized last year, but did not repeat in Q1 of this year. The net result was a $1 million improvement in SG&A for the segment. Unfortunately, negative mix, primarily driven by the increased common front seat architecture volume in Europe, combined with the negative impact of FX and lower equity income, partially offset the improved business performance. Regarding SS&M's CapEx for the quarter, the business spent roughly $71 million. Let me now shift to our cash and capital structure on Slide 14. On the left side of the page, we break down our cash flow. Adjusted free cash flow, defined as operating cash flow less CapEx, was an outflow of $272 million for the quarter. This compares to an outflow of $270 million last year. The negative impact of lower earnings was offset by an increase in customer tooling recoveries, lower restructuring costs, and an absence of a bonus payout. Capital expenditures for the quarter were $144 million, compared with $143 million last year. As you can see in the footnote, we continue to break out CapEx by segment. On the right-hand side of the page, we detail our cash and leverage position. As of December 31, 2018, we ended the quarter with $406 million in cash and cash equivalents. Gross debt and net debt totaled $3.409 billion and $3.3 billion, respectively, as of December 31. As a result of our cash balance, debt level, and operating performance, Adient's net leverage ratio at December 31, 2018 was 2.72 times. Speaking of our net leverage ratio and following up on Doug's earlier comments, post-quarter close, the team amended the company's credit facility. The amendment pivots to a net secured leverage financial covenant, replacing the previous financial covenant, which was based on a total net leverage ratio. The maximum net senior secured leverage of 2.5 times steps down to 2.25 times for Q3 and Q4 of our fiscal 2020 and 2.0 times thereafter. Details of the amendment were filed in an 8-K earlier this morning. This amendment should provide the stability, flexibility, and strengthens our liquidity position as we explore various options to refinance the company's credit facilities. One last point on the amendment. At quarter end, the net secure leverage ratio totaled roughly 1.3 times. The calculation is as follows: secured debt per our credit agreement totaled just over $1.5 billion at December 31, 2018, and includes the $1.2 billion Term Loan A, $189 million of our EIB loan, and approximately $142 million of our European factory and facility, subtracting $250 million of cash, note the agreement caps cash netting at $250 million, the bank-adjusted secured net debt totaled $1.281 billion. The last 12 months of bank-adjusted EBITDA totaled roughly $950 million, resulting in the 1.3 times outcome. The primary difference between Adient's LTM adjusted EBITDA and the bank calculation includes eliminating equity income and adding cash dividends received and eliminating income from minority interests. Moving on to Slide 15, let me conclude with a few thoughts of what to expect for fiscal 2019. Based on current vehicle production plans and expected movements in foreign exchange, we expect revenue to settle in the $15.5 billion to $16.7 billion range. The primary driver in the forecasted year-over-year decline is FX, which is expected to be approximately $500 million headwind, compared to last year. Softer market conditions in China and a reduction in complete seat business in Europe is also expected to impact revenue, but to a much lesser degree. With regards to adjusted EBITDA, first half of fiscal 2019 is expected to be our low water mark, with improvement expected in the second half. Despite improving results in the back half of the year, full-year adjusted EBITDA is expected to be lower compared to the full-year 2018. As Doug mentioned, the benefit of operational and commercial actions being executed, such as our ability to eliminate the manual lines and premium freights in our recliner business at Rockenhausen, gives us confidence earnings will improve in the second half. To help dimension our first half's adjusted EBITDA performance, our early read on Q2 has the quarter shaping up to look very similar to the quarter just completed. On a sequential basis, compared to Q1, Seating is expected to decline modestly, while SS&M is expected to show improvement quarter-over-quarter. As discussed at the investor conferences in Detroit last month, additional updates on the pace of the improvement will be provided through the year as we gain clarity on key variables, such as the pace of the operational and commercial actions, China volumes, and tariff headwinds, to name just a few. In addition to the operational headwinds, earnings are expected to be impacted by a variety of other factors, including the following: temporary SG&A benefits not repeating in 2019, call it about $20 million per quarter or $80 million for the year; weaker global currencies versus the U.S. dollar, which is expected to be an approximate $50 million year-over-year headwind; elimination of becoming Adient's adjustments, although the costs are expected to be lower versus last year, spending will be absorbed in our operating performance; and, finally, increased Adient aerospace spend versus last year. As a reminder, in 2018, the JV was not formed yet, so we only had about $15 million of net expense, while Boeing funded the other $15 million. This year, we will spend the same, roughly $30 million, and Boeing will continue to reimburse for their share. However, as we are consolidating this business, we will still have the entire $30 million in reported results. Moving on, Adient's effective tax rate is expected to be in the high-teens to low 20% range. For modeling purposes, call it 20%. The higher effective rate versus last year is primarily due to the establishment of the valuation allowances in certain jurisdictions where losses were previously benefited. If you recall, last year's fourth quarter results were significantly impacted by the establishment of the valuation allowances. Important to note, the higher effective tax rate does not impact our cash taxes. For fiscal 2019, we expect our cash taxes to decline year-over-year. One additional point on cash taxes, more than 50% of our cash tax payments were related to consolidated JVs and withholding taxes on dividends from our JVs. On a side note, I'll mention the asset impairments called out in last year's Q4 will have an impact on 2019 as it relates to depreciation. Because of the asset write-downs, we expect deprecation for the year to total about $300 million, significantly lower, compared with last year. And one last item for your modeling, we expect capital expenditures to be in the $550 million to $575 million range for the year. Although we see opportunity to reduce capital expenditures in the out years, driven by a smaller SS&M business, the current year expenditures are supporting current year launch plans. With that, let's move on to the question-and-answer portion of the call. Operator, can we have our first question, please?
Operator: Certainly, sir. Thank you. [Operator Instructions] Our first question comes from Colin Langan at UBS.
Colin Langan: Great. Thanks for taking my question. Any color – you highlighted the debt refinancing. Are you done there on the debt side or is there more actions to come that you were talking about at Detroit? And any thoughts, there's a lot of chatter about an equity raise? I mean, is that something that's still on the table?
Jeff Stafeil: Thanks, Colin. We thought it was prudent to do the amendment. The debt markets are certainly pretty choppy. It gives us opportunity to refinance. That is still our goal to refinance the credit facilities, Colin. The primary reason is, while the amendment really gets us through the maturity of our term loan, that is middle of 2021.  So, just from a maturity extension standpoint, we would certainly need to go out to the market sometime soon. So, this gives us flexibility on timing, gives us quite a bit more flexibility and room, but the intention here would be to still go out and look for refinancing. As it relates to capital structure comments, I'd comment that, obviously, our capital structure was sized for a different level of earnings. As we execute on the turnaround, we should be able to de-lever through improving our operations and our earnings. But we are, obviously, focused on making sure the company has flexibility, liquidity, etc. to execute the turnaround plans. The primary focus of us, at this point, is the refinancing. And the amendment just gives us a little bit more time. As it relates to equity, that's not our first focus. Our first focus is definitely on the debt markets, but I'd just say that we're obviously looking at all paths and opportunities, given sort of the uncertainties in the macro environments and some of the specifics of our internal turnaround.
Colin Langan: Got it. And any color, you've talked in the past about mispriced business. Any update on how big of a revenue base that is and how those talks started and is there any progress there?
Doug DelGrosso: So, I'm sorry, Colin, which business segment were you referring to?
Colin Langan: I think in the past, you've discussed how some of the contracts were mispriced.
Doug DelGrosso: Oh, mispriced.
Colin Langan: At customers. And I don't think there's ever been a framing of was this $1 billion of business that needs to get re-discussed. Or refer to the sizing of it and how are those initial discussions going if they’ve started?
Doug DelGrosso: So, most of the discussion has been focused on SS&M, obviously, and to a certain degree, our Seating business in North America. I'll hold back quantifying it, specifically. I think what we've said in the past, it's a handful of customers on a handful of programs. So, it's not widespread throughout the entire business, including SS&M.  We're in the midst of those talks right now. We've established what we think our – you know, a fair resolution, but until we really get clarity through our customer where we think we'll end up, we're really not prepared to get into a tremendous amount of detail on those specific discussions. As you can imagine, it's pretty confidential and I don't know if it's appropriate for us to be publicly quantifying that and mentioning it that way. And we'd say we've had some initial success. I think some of that has been reflected in Q1.  I think some of that is also reflected in the performance improvement we've seen on a year-over-year basis with SS&M. But, really, to get where we want to go, we've got some more work. And I would expect later in the year, we'll have a lot better visibility on that.
Mark Oswald: Operator, can we have our next question?
Operator: Certainly, sir. Thank you. Emmanuel Rosner, your line is open.
Emmanuel Rosner: Hi. Good morning, everybody.
Jeff Stafeil: Good morning.
Doug DelGrosso: Hello.
Emmanuel Rosner: Hi. So, my first question is I'm curious to understand a little bit better what underpins your view of a better second half EBITDA than the first half. So, I don't know what's the best way to approach it. Maybe some of the actions that you were sort of highlighting on that Slide 6 for the first 180 plus days. What is it that you see, specifically, that would improve and also bear results as soon as in the second half? Because, arguably, in that fiscal first quarter, there was little evidence of improvement yet?
Jeff Stafeil: Sure. At the analyst conference in January, we attempted to shed a little bit of light on that and we broke it down by business segment. So, for each business segment, we identified what underperforming plants we were focused on, what commercial activity we had, from an uplift standpoint, where we were on material economics, what restructuring projects we had in place, what we were doing from just an overall launch standpoint. And so, for SS&M, North American Seating, and Europe and Asia, we mapped that out and we laid it out against a timeline that extended out a couple years. I think the way to think of it is, with each one of those subgroups, there's specific actions that we're executing right now. That will take place for the balance of this year. And as we get to the end of the year, we'll start to see the benefit of that and that translates into improved performance as we move into the next fiscal year.
Emmanuel Rosner: Appreciate this, but I guess, maybe if you just want to restate that from a high-level point of view for us. I'm just – I don't have a good appreciation of, on a plant-by-plant level, the magnitude of what the promise and what the drag is, specifically, on earnings. And so, I'm just curious, when you sort of look at the second half of this fiscal year, how would you sort of rank the biggest drivers of improvement? Is it the commercial discussions you're having with customers right now? Is it the launch problems that will go away or that have already gone away? Sequentially, how would you rank the biggest drivers of improvement?
Doug DelGrosso: So, I think, consistent with comments we've made in the past, I think we've said they're roughly split operationally and commercially. I would say the operational issues are easier for us to predict because they're very much dependent on actions that we can execute ourselves. The commercial issues, I think, are a little bit harder to anticipate until we get further into the negotiations.
Emmanuel Rosner: Okay. And then just, finally, in terms of what are the factors of uncertainty going into the second half? I think we don't have to sort of focus on the macro. I think a lot of us understand what the macro volatility is, but specifically within your guidance and your view, what are you assuming to get to a better second half? And then what are sort of still the factors of uncertainty that prevent you from giving more specific guidance?
Jeff Stafeil: So, without getting too specific, you said ignoring macro, I think macro has to be included in the discussion. China, certainly, an area that we're anticipating much improved performance in the second half of the year in the market, but that's not completely crystallized how that develops. We're still awaiting action on the central government to stimulate the market there. You have macro issues like Brexit. We've got a number of our customers in the UK or in Europe, in general, that could be impacted by that. We anticipated some activity there but it's not, again, crystal clear how that plays out. Tariffs are looming and could also have an impact on that. We've had a lot of commercial discussions with our customers. We've made those – the negotiations have been inclusive of tariffs, so we think we're somewhat protected/hedged on that, but it's not completely clear how that plays out. We've seen some improvements in the material economics to a certain degree, particularly in steel, but, again, you can call those macro factors, but I think those are the things that are certainly out of our control, but we're trying to comprehend as we talk to our customers on the impact to our business.
Emmanuel Rosner: Great. Thank you.
Jeff Stafeil: You're welcome.
Operator: Our next question comes from Brian Johnson of Barclays. Your line is open, sir.
Unidentified Analyst: Yes. Hi, good morning. This is Stephen [ph] on the line for Brian. Just to follow on to Colin's and, to a lesser extent, Emmanuel's question around some of these enterprise commercial contracts. If you look at the backlog that was last disclosed, we see a decent step-up in the backlog from 2019 of about $450 million on the consolidated Seating front to about $1 billion in 2020. So, I understand that might have changed since the last backlog update, but I'm just wondering have you been able to go through the 2020 backlog, in terms of figuring out what percentage of that is potentially underpriced? As was seen here in 2018 and the first half of 2019, to what extent could some of that step-up in the backlog in 2020 be underpriced and at what point do you expect to gain greater visibility into some of those contracts and pricing?
Doug DelGrosso: Sure. So, we're spending a tremendous amount of time in that particular area. As we talk about things, kind of some back to basics and commercial discipline, that's kind of coded for ensuring that everything that we bring on that is not yet launched is going to earn a respectable return on capital. And where it's not, then we have to have some serious discussions about how we proceed. I'd remind you, the way I'd look at the Seating business, and I think it's true for a number of engineered products in the supply base, during the course of the development from award to start of production, the scope of the product changes. Specifications, applications to meet consumer requirements all change. And it's through that process that you have to take action and ensure that your product is properly priced. I would say if there's a flaw that we've had in the way we've operated historically as we've been reluctant to press those issues when they needed to be pressed with our customers and we waited until they accumulated and they were pretty sizable and difficult for our customer to handle. So, we've got back to a much more disciplined approach in the way we program manage and the way we commercially discuss issues through the development, so we avoid some of the problems we're dealing with right now. So, I'm feeling far more confident that we're much more aligned with our expectations on this backlog of business that's coming on to what's kind of unfolded over the last two years here. And we're not going to be creating a crisis with our customers. We're going to get back to kind of a normal way of managing our business and the returns on that business is going to be in line with our prior performance and closer to the gap performance we've talked about. And that's why we indicate, particularly on the metals and mechanisms business, that we're indifferent, if you will – we're okay to scale that business down because we want to ensure what we bring on has got the proper return. So, where we don't see that happening, where there's customers where, historically, we haven't been able to execute reasonable levels of profitability, we're just not pursuing that business and we're concentrating our efforts where, historically, we've demonstrated much better performance or we think we understand the expectation of the customer and we're pricing it at an appropriate level.
Unidentified Analyst: Okay. And then a somewhat related question, just around the current pricing environment and margins for future business, call it business that you will be launching in the 2021-2022 and beyond timeframe. I understand you think there's no real structural reason why Adient's margin shouldn't be comparable to peers, but just trying to think through, as you go out and price new business with OEMs, is Adient potentially at a disadvantaged position, just given current operational issues and having to renegotiate current contracts or contracts that are about to launch? And then, also, in light of Adient's leverage relative to competition, e.g., you might have to kind of take contracts that are slightly lower margin relative to competition to gain back some business or gain back the trust of customers.
Doug DelGrosso: Yes. We tried to hit on that point in our formal comments at the beginning of the call. Jeff pointed to a couple of awards, namely the F-150 and BMW 7-Series that we successfully won that business in a competitive environment. We're very confident in the returns at the level we priced that business, although we have to go through a two-year development so there's still a lot of work to be done. But I think we have a much better handle on how we progress through that development cycle. We weren't able to be specific, but there was a Japanese customer who awarded us a major mid-size SUV program that we're pretty excited about. So, it's a balancing act. We understand that. I understand that. But we have to have fairly priced products, period. And we're pretty determined to get there on our existing book of business.  My experience has been, if you're prepared, if you're having intelligent discussions with your customer, you can navigate through this without having a significant impact or any impact, if you will, on your backlog. So, that's not a huge concern on my part. I think we can navigate those waters effectively. The comments about structural aspects of our business and not seeing competitive gaps. I think that's just more a function, if I look at our manufacturing footprint, if I look at the fact that we have locations in the proper regions of the world, we've got great scale in those regions, be it China, Mexico, Eastern Europe, so we're very capable of operating in those regions. I look at the competitiveness even in the SS&M, on our mechanisms business, and I look at the performance aspects, whether it's strength, weight, cost on those components, and all of the benchmark data that I've seen since I've been here is very favorable. I just keeping going back, a lot of our problem right now is execution. So, it's clearing distractions away from the team, getting us focused on being very passionate about execution in every form of it, and I think if we do that, again, we can get back to a level of performance that we enjoyed just a few years ago. And I think we can outperform that, but it's going to take some time to get it back on track.
Unidentified Analyst: Okay. Thanks for taking my questions.
Operator: Thank you. Our next question comes from John Murphy from Bank of America. Thank you, sir.
John Murphy: Good morning, guys, and good to hear from you, Doug. I guess a first question. When you think about Seating and SS&M, what do you think are the adequate margins that will generate adequate returns? I mean, kind of on the Seating side, mine has been 5% to 6% operating margins return mid-teens invested capital. I'm just curious, as you're looking at this, Doug, and going through it, where you think the adequate level is? I mean, we could talk about peer levels and stuff like that, but I mean, where do you think the adequate level is?
Doug DelGrosso: Yes, I don't think we've formally come out with a number. First of all, it's nice to hear from you, too, John. Thanks. You know it's a capital intense business. So, we should be demanding a higher level of return on the invested capital. Without getting too specific, on an EBITDA level, we'd like to see that business get back to something in the double-digit range, but we're a long way away from that. But I would categorize that with a lot of proprietary technology, capital intense business, if you want to stay in that game, then that's kind of the level of returns you should have. And if you can't see a way to get there, then we probably want to minimize that as a segment of our business. But, right now, I don't see a reason why we shouldn't be holding that up as an objective for ourselves.
John Murphy: Okay. And then maybe sort of a second question that's sort of a follow-on and related. When you're saying there's no reason that you couldn't get to peer margins, we are looking at peer margins that, on a fully loaded basis, are in the 7% EBIT or operating range, plus or minus, depending on the quarter and the year. Do you think that as you get more competitive in the market and the business gets healthy, that's the level that their margins should be at? Or has there been this run, and I think you're probably understanding who I'm getting at, where, as Adient's been a little bit down and out as part of JCI and now, sort of more recently, with some missteps, that they may have sort made hay and maybe over-earned a little bit for some period of time? Or is that too extreme a read across?
Doug DelGrosso: To me, that's a little bit too extreme. I think it's about execution. If you just look at what's been happening to us, I mean, the launches have been brutally painful. They've extended far beyond the normal launch window of 90 days. We're carrying a tremendous amount of labor and freight penalties associated with that poor performance. There's an element, as I said, of commercial discipline, not pricing the product when changes occur. And we're having to go back now and have those discussions post-launch. That's not the time to do it. From my observations, I would say the other guys have just been executing really well. I don't know that it's necessarily been a result of any failures on our part. I think they've just done well, making sure that they're pricing products right, they're pricing it through the development cycle, and they're very focused on launch execution. That's my visibility I can say on their performance.
John Murphy: Okay. That's helpful. And then just lastly – and I apologize, I got on the call late. I mean, it sounds like you got reaffirmation from Ford and BMW on the F-150 and the 7-Series and you just mentioned, presumably, one of the J3, you've got a program with on a crossover. So, it sounds like the Seating business is going well. I mean, you kind of alluded to SS&M potentially shrinking strategically because it might make sense. But on the Seating side, is there any rational reason to think about shrinking the business over time as you go out there and bid on new programs? Or is that really just something that we should think about as isolated to SS&M and then Seating, as you get your ducks in a row here, get everything set, that there's no rational reason to be really thinking about shrinking the Seating business over time? You would want to grow. Is that kind of a fair statement?
Doug DelGrosso: It's more of an SS&M statement. That's why we specifically point to it that way. I think a lot of that has to do with the capital nature of the business and why we need to be far more selective. I would say commercial discipline applies to all elements of our business. So, the Seating business is not immune. But I think, on the Seating side, we've done a pretty effective job, with the exception of launch management, and that's hurt us. If you go back and you look at some of our other presentations, typically, in the Americas, there's been a real uptick in launch activity that we haven't managed all that well. But I wouldn't say the scaling down of the business applies on the Seating side right now.
John Murphy: Okay. Very helpful. Thank you, guys.
Doug DelGrosso: Thanks, John.
Jeff Stafeil: Thanks, John.
Operator: Next, we take a question from Joe Spak of RBC.
Joe Spak: Thanks. Good morning. I wanted to maybe follow on a little bit about the right-sizing SS&M, and you had this comment about cash flow-neutral for that business by 2021. And since it sounds like you're shrinking it, obviously the CapEx comes down. But does that also imply – that statement, you could sort of read into it that maybe you get back to a positive EBITDA before that timeframe. Is that how you're thinking about the cadence of that and the cash flow neutrality is maybe a little bit later?
Doug DelGrosso: I think that's a way you could look at it. As Jeff mentioned, we're still spending a fair amount of capital on that business right now because those are programs that we're committed to launch. We're contractually obligated to launch. So, I would think about it, from a cycle standpoint with SS&M, that in 2018, and to a certain degree in 2019, we suffered through a lot of launch-related, commercial-related issues that we're trying to unwind and address. That requires a tremendous amount of resources as we do that. As we look to scale down the business, that means our revenues will come down. You should think about that in a two-year timeframe. And that began about a year ago so we're a year out. As we fix issues, we get our commercial issues behind us, launch activity comes down, if you don't have the capital expense, you don't have the launch-related expense, even if the launch goes well, and you can take a lot of those resources that have historically been running around trying to fix problems and you can point them inward and drive a lot more productivity into the business, which, quite frankly, we haven't done and you could argue that's part of the reason we're struggling in the Seating business in North America is we diluted our resources to solve launch-related issues and we haven't been taking steps to drive productivity, activities like BABE and improve margins. So, it's kind of – you look at SS&M as we, at a macro level, said this is kind of a 2, 3-year process to get the business right, in the scope of scaling it down as well. I don't know if that's helpful or it necessarily answers your question.
Joe Spak: I guess the other – maybe you could just shed some light, because it's a little bit unclear, to me, anyway, in terms of the new recliner series and I think also the common architecture that you talked about in Europe, it sounds like that has weighed on profits. It probably didn't come on as profitable as you imagined. And it seems like what you're saying is you actually need – there's definitely some improvements you can do internally, but you also sort of need the volumes higher. So, I mean, I guess I don't understand exactly what the turning point is for those businesses from a volume perspective. And how should we think about a wide time range for when you can sort of turn those new products, I guess, around?
Doug DelGrosso: They're kind of two different product lines, quite frankly. The recliners are part of our mechanisms business. That's truly proprietary technology. We have a good understanding of what the market price is. And the problems we had, specifically at Rockenhausen, were all related to our launch of that new series. And I think we've talked in past presentations that 2018 was the year we launched and converted from this 2000 Series to the 3000 Series of our mechanisms business. That was an expensive undertaking, a lot of capital. Some of that capital is still being employed this year and a lot of launch expense. In Rockenhausen, we talked about the manual lines that we needed to put in place to address our backlog and that the backlog led to a lot of premium freight. And we've slowly worked through those issues. The common architecture is a slightly different problem, in that it's not as much proprietary technology, it's a joint development that we've had with a couple of customers that was originally intended to be a common design that was going to be deployed across a number of different platforms. What's happened through the development is it's proliferated into many different designs. That's made it more expensive from an investment standpoint. It's made it more difficult to launch. We certainly had our share of issues there. And that scope change has created a big commercial discussion with our customers. That activity is impacting us in the first half of 2019. So, as we solved our problem on the recliner side, we are now grappling with a new issue on this common architecture and that's why you're not seeing a significant improvement on a year-over-year basis. It's offset a lot of the improvement we achieved on the metal and mechanisms side.  So, we think we're out of the woods on the mechanisms side. We still have work to do but we're in a far better position than we were a year ago. It's now really getting our arms around this common architecture, which is a huge program that we're in the final stages of launching and addressing the issues I've pointed out.
Joe Spak: So, it's not necessarily a volume issue on the common architecture. It's a commercial issue and getting the pricing for the different variants that evolved that you didn't initially expect.
Doug DelGrosso: It's volume from the perspective that we're launching and volume's increasing as we go through the launch, but it's not a volume issue in the traditional definition.
Joe Spak: Okay. Thank you.
Mark Oswald: Thanks, Joe. Marcella, it looks like we have time for one last question.
Operator: Thank you. That will come from Armintas Sinkevicius, Morgan Stanley. Go ahead, sir, with your question.
Armintas Sinkevicius: Great. Thank you for taking the question and congratulations on the wins with the Ford F-150 and the BMW 7-Series. Just curious, as you think about the capital structure of this business and the refinancing activity here, maybe it's early, but has leverage or balance sheet even remotely come up in conversations with the OEMs? And at what level do you think that that would become a question or a conversation that you would have as it relates to new business?
Doug DelGrosso: That issue has not come up with our customers. Certainly, we've had discussions with our customers around our declining share price and our financial performance. We've been pretty transparent with them. Quite frankly, a lot of the materials you see in our earnings deck are information we share with them, not just the financial side, but what our anticipated road to recovery is. Those discussions have included me. I know Jeff has had discussions with them just to give them the clarity that they'd like to have on us financially. But that's not been a barrier for us to win business.
Armintas Sinkevicius: Okay. And maybe the flip side of that question is, what are customers focused on, given sort of the recent launch issues, and how are you providing them with comfort and anything else that they've been asking about?
Doug DelGrosso: Our customers are really focused on the same thing they're always focused on. They want us to be cost-competitive. They want us to execute. They want us to focus on quality and delivery. They want us to have candid conversations with them. They want a level of transparency on what's happening in our business. They want to understand what our strategy is. We're a pretty valuable asset to our customers. We do a lot of things extremely well. We, obviously, have stumbled most recently, but when you look at our technology, when you look at our capability, when you look at the way we've got diversification within region and within customer and not overconcentration, our fundamentals stand up against anyone, certainly, in the seating business and, arguably, in the supply business. So, we have a lot to offer them. We just have to get better at executing, get back to what, historically, we, quite frankly, had done extremely well. And, again, maybe this is an oversimplification, but I don't think so – it's taking distraction out of the way for the team, allowing them to focus and deploy where we need to operationally focus, and not being overly eager to win every business to necessarily promote backlog growth but to have good, strong commercial discipline and have candid, intelligent discussions with our customers, which we do all the time. And, to varying degrees, it seems to make sense to them. But our top priority, and this is what I communicate to our customers all the time, is we have to get back to a level of profitability that's right for this business. This is not sustainable. And we'll correct our problems, but we'll engage with you where we think there's issues on both sides.
Mark Oswald: Unfortunately, we're out of time, so that will conclude the call this morning. Again, thank you very much for participating. If you have any follow-up questions, please don't hesitate to call.
Doug DelGrosso: Thank you.
Operator: This does conclude today's conference. Thank you all for your participation and you may disconnect your lines at this time.